Operator: Good day ladies and gentlemen and welcome to the American Resources Corporation’s First Quarter 2023 Conference Call. All lines have been placed on a listen-only mode and the floor will be open for questions and comments following the presentation. [Operator Instructions] Please note this conference is being recorded. At this time, it is my pleasure to turn the floor over to your host Mark LaVerghetta. Sir, the floor is yours.
Mark LaVerghetta: Thank you and good afternoon everyone. On behalf of American Resources Corporation, I would like to welcome everyone to our first quarter 2023 conference call and business update. Even though we conducted our conference call update just about six weeks ago, we always welcome this opportunity to provide an update on our business and discuss our accomplishments and also discuss how we uniquely positioned within the markets we serve, for our American Carbon, American Metals, and our ReElement Technologies division. That being said, we will provide some incremental update since our last call and then get into a question-and-answers part of the call. Also on the call with me today is Mark Jensen, American Resources’ Chairman and CEO; and Kirk Taylor, our Chief Financial Officer. Now before we kick it off, I'd like to remind everyone of our normal cautionary statement. Certain statements discussed on today’s call constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act. These forward-looking statements are subject to risks, uncertainties, and other factors, which could cause actual results to differ materially from the results discussed in the forward-looking statements. When considering forward-looking statements, you should keep in mind the risk factors, uncertainties, and other cautionary statements, which are laid out in our press releases and SEC filings. We also do not undertake any obligation to update or revise any forward-looking statement whether as a result of new information, future events, or otherwise. Lastly, for anyone wanting to ask a question today, I believe you'll need to dial-in by phone to get into the queue. We are going start today with a few comments from Kirk Taylor. Kirk?
Kirk Taylor: Thank you, Mark and thank you everyone for spending a couple minutes here with us this afternoon. First, I'll start with some financial highlights. The first several months of 2023 have continued to showcase our focus and execution, solidifying our strategic positioning within our addressable markets, which we believe position our company for long-term value creation. As Mark just mentioned, we recently just had our year-end earnings call, where I commented on our execution and highlighted our accomplishments on all fronts. Today, I'll focus on some comments pertaining to certain value-creating initiatives that we have had in the works. First, I'll update on our tax net bond offering in Wyoming County, West Virginia. As previously mentioned, we are positioning our Wyoming County coal mining complex as a driver of incremental growth with the federally and state commitment in the form of $4.9 million in new market tax credits as well as a $45 million volume cap allocation from the state of West Virginia for private activity, solid waste disposal facility revenue bonds. These non-dilutive capital sources will fund the expansion and technological improvements to the existing processing facility, the development of two underground deep mines, as well as the new construction of a critical mineral processing facility utilizing our pathogen electrolysis technology to capture certain elements such as lithium and cobalt from our carbon waste streams before the landfill. We believe this will be the first fully-integrated mining and critical element processing facility in the United States, a showcase for everybody to learn from. This issuance was delayed due to the aggressive interest rate policy enacted by the Federal Reserve to combat multi-decade high inflation. With the recent stabilization of interest rates, our advisers feel that the municipal of markets have reopened and again, are receptive to our title project. We continue to work with our advisers on executing the above allocation. Next, I'll talk about the spin-off of ReElement Technologies. We've also previously discussed our intention to spin-off our wholly-owned ReElement Technologies division into a stand-alone public company, given its evolution and strategic positioning as a world-leading refining technology platform. On this past January 24th, we filed our initial Form 10 registration statement with the United States Securities and Exchange Commission. This past Friday, May 12th, we filed our amended Form 10 registration statement update for both 20 -- or 12/31/2023 numbers and to address comments and questions raised by the SEC. The amended filing is currently under review and all timing is subject to their review process. Next, I'll comment on American Acquisition Opportunity Inc. When we IPO-ed AMAO as its main sponsor, we sought out to merge with a dynamic cash flowing company that did not require complicated highly dilutive financing as part of this leaseback process. Last June, AMAO announced the definite merger agreement to merge with Royalty Management Corporation, whereas RMC become a public company. Last December, AMAO filed its first Form S-4 registration statement with the SEC in conjunction with the planning merger between AMAO and RMC and have since been working through the comments provided by the SEC. On May 4th, AMAO filed its amended Form S-4 to again update for December 31st, 2023 numbers and to address questions and comments raised by the SEC. Again, the timing is subject to their review and we will update and respond accordingly. Our unique platform of assets is in a great position to deliver on what we believe is an attractive return and value to our shareholders, including our mining assets, our ReElement Technologies division, as well as American Metals division, which we are in the process of strategically positioning within electrified economy. On some highlights of this last quarter. On January 31st, 2023, the remaining amounts of our convertible note in the amount of $9.8 million was converted into 9.4 million common shares of the company. This extinguishes all future liabilities and obligations under the existing convertible note. As of March 31st, 2023, our traditional debt balance totaled approximately $839,000, which a little bit less than $300,000 as equipment financing, and $550,000 is in the form of a mine development from one of our top customers. Our balance sheet has never been stronger than it is today. As of March 31st, 2023, our current shares outstanding totaled just over 78.2 million of all Class A common shares. Cash on hand at the end of the first quarter was approximately $2.4 million, plus a large inventory level of net carbon that we continue to sell into the marketplace on contracted to our contracted customers. Lastly, it is probably worth reiterating, given the recent regional bank event, all of our excess cash above FDIC limits are held by a top tier US-based bank. I'd now like to turn the call over to Mark LaVerghetta for some additional comments on our ReElement Technologies division. Mark?
Mark LaVerghetta: Thanks Kirk. As we frequently state, our ReElement Technologies division represents an incredibly exciting and very strategic opportunity for us. As we continue to strategically position ourselves in the global supply chain for critical minerals, I think it is important to reiterate and emphasize our position within that market. ReElement is an innovative and advanced refining platform for critical minerals. While we believe we are a high-value component within the recycling value chain, we are not solely a recycling platform. However, we do believe our position in the recycling market and the sustainable supply of critical minerals is highly important as we move towards a highly mineral-dependent electrified economy. We also believe our refining methods hold an important position in the global value chain of processing and purifying a variety of feedstocks, including natural ores such as lithium. Additionally, in regards to our strategic positioning, it is worth noting that our innovative and advanced refining technology holds a critically important role for our domestic supply chain of critical minerals and our domestic manufacturing of goods here in the United States. China's global dominance of critical minerals has a lot to do with their ability to refine products, both natural ores and in the recycling process, where they use conventional and environmentally and socially-toxic refining methods. The low environmental and social standards allow China to produce these minerals at a lower capital cost. We believe that deploying these conventional refining methods here in the United States market is going to be very challenging. As we put together and developed our IP, we set out to solve the biggest bottleneck in the supply chain, which we see as economically-competitive refining, which is highly flexible to a variety of feedstocks and very environmentally safe. Our innovative and advanced refining methods using chromatographic separation and purification, displaces those toxic conventional methods used in China and we believe is an important linchpin in making the US competitive within the electrified economy. Our technology is showcased that we, meaning the United States, can migrate away from no longer need to depend on foreign adversaries to refine these minerals necessary to advance high-tech green energy, including electric vehicles and wind energy as well as defense applications. Our innovative chromatography technology is a clear differentiator in the market for several reasons, which specifically addresses the refining bottleneck within the supply chain. Our Refining Technologies' modular structure and design enables it to scale congruently and efficiently with the needs of the market, meaning that we do not have to lay out a massive and disproportionate CapEx investment and wait for the market to adapt or to catch up. And they can be deployed either utilizing a larger aggregation a hub model or we can co-locate customized refining capacities for certain supply chain partners that we work with, allowing them to reduce logistics and chain of custody concerns and control a portion of their critical mineral supply. Our refining technology is very flexible to the type of and materials that we choose to refine, meaning we can handle end-of-life recycling, manufacturing waste, scrap, and non-spec material, as well as virgin ores such as lithium spodumene ore and refine it into high-purity lithium carbonate or lithium hydroxide, which is needed in the production of a variety of lithium-ion batteries. We believe the opportunities to provide low-cost and environmentally-safe lithium refining around the world in a collaborative manner to meet the needs of the energy storage market are abundant. Additionally, and specifically, to the battery materials market, our technology can efficiently adapt to different and evolving battery chemistries. An important distinction for our technology is that we can economically recycle lithium iron phosphate, also known as LFP, end-of-life manufacturing and end-of-life batteries. In fact, we are the only ones that we know of that can effectively do this economically. It's a huge differentiator for us. From our perspective, and everyone can do their own research, it appears that the ever-evolving battery market is moving towards more broadly adopting LFP battery chemistry, which gives us a clear advantage in the recycling market. As such, we feel like we hold a significant value-add position with our ability to economically refine and recycle material as battery chemistries evolve within the energy storage space, as well as defining our value-added and competitive advantage beyond just producing a black mass within the battery recycling market, where other recycling platforms are either trying to implement high-cost conventional refining methods such as solvent extraction or hydrometallurgy, similar to those used in China here domestically. We do not really have a clearly defined solution and sell material back to China for refining, which only benefits China. Given our competitive and value-added finding capabilities, we are confident that we will continue to develop additional collaborative partnerships throughout the supply chain, which are cost-competitive and keep the critical minerals here in the United States. We had early success in developing partnerships such as the ones we've established with our Magna partners in establishing the first complete domestic and circular lifecycle for rare earth magnet here in the United States. And we continue to have really good success with several other pilot programs where we are fostering collaborative opportunities and we are really excited about that develop in long-term partnerships. These partnerships cover both rare earth elements and critical battery minerals from a variety of feedstocks. It is also worth reminding that as we further commercialize our advanced refining technology chromatography, that it has been around for over a century and has been utilized in large-scale commercial operations in industries such as pharmaceutical manufacturing and sugar purification all over the world. Our research partners and us have adapt technology to be applied to critical mineral refining in a way that we believe can undercut China's cost structure. It's a huge distinction. We also think that we can produce high throughput and performance, able to produce ultra-pure minerals and mineral compounds. And as I stated, deploying the same refining technologies such as solvent extraction, or hydrometallurgy here domestically and trying to be cost-competitive with China is going to be a tough, tough challenge in our opinion. As an American Resources, which I assume a lot on this call are, including us, the management team, the value proposition for ReElement Technologies is whether you think innovation in refining technologies is necessary to lower the cost structure within the highly competitive critical mineral supply chain, which China has been dominating as we all know, largely due to their ability to refine. And whether that innovation will foster different more efficient refining methods, we believe we are leading in this mission. We're confident as we continue to showcase our competitive distinction, including a lower cost structure and collaborative value ReElement Technologies will garner significant value for our shareholders. I'd like to now turn it over to Mark Jensen for some additional comments. Mark?
Mark Jensen: Thanks Mark. First, I'd like to applaud our team for the efforts this quarter and the positioning of our divisions to take advantage of the key markets in which we're focusing on, while also leveraging our processing and refining technologies, the new exciting markets. At no point in history as our business has been better positioned to serve the markets which we operate in and to capitalize on a broad asset base, our talent and our ability to produce, process, and refine raw materials that are in very high demand. Given our execution, we are extremely excited about the opportunities for all of our entities, but also believe that the enterprise value as a whole is currently at a substantial discount relative to the sum of the parts or comparable to peer valuation. I'd like to dive into it briefly on each division here. American Carbon start, currently, carbon markets are still in a very strong position. There's been recently changes within the market and shifts within geographic demands of China and Australia opening back up of relations and which shifts our markets back to India, Turkey, Croatia, and the markets which we've historically serviced as well as the domestic marketplace. We believe that market will remain strong. There's very little capital being invested into the metallurgical space. Supply growth has been decreasing, while at the same point, we've seen a strong demand, including additional steel mills domestically being opened up. We do remain steadfast and focused on monetizing our carbon assets, whether through operating them ourselves, joint vendors, leases, or asset sales. With the primary focus on the operational side being our McCoy Elkhorn complex and our Wyoming County complex. Both McCoy and Wyoming County represent very high-quality metallurgical carbon products that can be operated in a very low cost structure. McCoy mines represent a high-vol carbon product, which we have recently shifted around our production to even drive our cost structure lower, while taking advantage of the current markets. We have also recently announced the restart of our two on-site processing plants at the McCoy Elkhorn facility. This complex can process over 1,300 tonnes an hour with one of the longest standing water impoundments within the state of Kentucky and two of the highest quality processing plants in the region, providing us an opportunity to further cut our cost per ton, while enabling us to supplement our revenue with third-party processing and loading services. We continue to have ample inventory which will be sold into the market in the near-term. That inventory represents effectively cash and ultimately, at the end of the last quarter, we had a substantial amount of inventory, which we are selling into the market, which will generate substantial cash to enable us to continue to grow our business and execute upon our [Indiscernible]. We've also mentioned within our Perry County complex, our desire to monetize that complex, either through the asset sales and/or selling the complex. We believe that represents over $40 million in value based on the asset and inventories we have on site of equipment, and we are currently in the process of monetizing that equipment, generating cash to grow the business through our either ReElement division and/or our American Carbon division. Also recently, our Deane complex has entered production. We have been receiving cash flows from the Deane complex and we believe that the current market for that call remains strong. And the opportunity that, that lessor has to continue to drive value for themselves as well as our shareholders remain strong. Our current focus over the balance of the year for American Carbon is to run four sections out of Carnegie 1 and 2 mine, which should get us to roughly 40,000 to 44,000 tons a month of production as we continue to scale that complex up, which we will do over time. Our platform is unique given the significant mining infrastructure we own. The quality of carbon that we produce and have access to the restructuring efforts and investments that we've made to streamline the operations, along with the organic growth we have to provide incremental quality of carbon products. For American Carbon, we remain focused on ramping production at Complex. And positioning Wyoming County as our next pillar of growth given the premium mid-wall carbon complex producers. Lately, our team is putting a substantial amount of effort into the Wyoming County complex. We're progressing on it from an operational perspective and getting the processing plant in good order, electricity in place to be able to ramp up that production quickly and efficiently. As Kirk mentioned earlier, we also believe we are in a good position to close on our $45 million taxes that bond in the state of West Virginia in short order. The credit markets have seen stabilization focusing on following a very aggressive interest rate policy from the Federal Reserve. That complex is in a unique spot. It will be the first fully-integrated met carbon complex, which also acts as a concentrator of rare earth elements and critical elements, meaning lithium and cobalt that are present within coat seats [ph]. More importantly, it's set up in a method, and we believe the only method within the coal industry where you can extract these elements profitably, produce a concentrate that can later be purified using our ReElement Technologies. We're excited to get that complex in place and showcase it to the world with ultimately the goal of being able to either license that out to other coal mines in terms of the technology of adding it on to the processing plants and/or monetizing it in other avenues. With the closing of this non-dilutive capital source, we're excited to showcase this complex within the industry and be able to scale it up aggressively from a revenue position as well as from a value perspective. Within the ReElement Technologies to expand upon what Mark has already made -- the statements Mark has already made, we have never been involved in ending that has a higher [Indiscernible]. The opportunities that are present within the refining space for lithium, for cobalt, for rare earth elements, within not only the domestic market, but also the international market has never been needed more. We rely on a solvent extraction hydrometallurgical process, which is an old legacy process, which we believe can only truly be utilized within China. We look to disrupt the space by providing not only a lower cost, but at a more environmentally-sensitive method to refining critical and rare earth elements, but also being able to do it in a highly scalable manner and showcasing that to the world here very shortly. The number of opportunities we are seeing to provide our next-generation advanced refining capacity as a value-added service continued to accelerate. We are seeing more and more opportunities across different portions of the supply chain, which showcases the performance, the cost structure and the flexibility of our refining platform and also our ability to move quickly in terms of adding additional production capacity. As we evaluate these opportunities, we are continually entering into pilot programs for different feedstocks. Currently, our partnership and pilot programs are focused on end-of-life recycled magnets, end-of-life recycling of various battery types, and chemistries and battery manufacturing waste and scrap, as well as naturally-occurring lithium spodumene ores for the lithium refining market. As we continue to showcase our refining performance, including our ability to supply high throughput capacity to producing ultra-pure critical mineral products, we are confident in incremental collaborative partnerships we will enter into. We're also excited to performance of our technology, most recently announcing a 99.98% pure lithium carbonate, which can be used directly in the battery manufacturing process. The purity of which we produce that and the consistency of size and quality is a key to how our product will be continually adopted within the battery manufacturing marketplace. We talk about recycling, and you hear about battery recycling within the industry today. Recycling means many things to different parties. The recycling market continues to be an exciting market where ReElement refining can add a significant driver of value through that industry. Recycling ultimately means breaking products down and using them into new forms and products. What's key about our ReElement Technology is we can reuse those forms back into batteries, back into magnets, where most of the battery recyclers today within the domestic market are selling that recycled material to China to be either smelted or recycled over in China. We're one of the few players within the domestic market that can recycle that back to battery-grade or magnet-grade today, which ultimately is key in addressing the sustainability needs of the industry in itself, which is a big opportunity as the infrastructure and manufacturing of electric goods has stood up in our country and continues to grow. We are seeing numerous opportunities in the recycling phase beyond what we have announced with our Magna partners. We are seeing those opportunities for both magnets and battery materials. We have also most recently commenced several pilot programs to recycle these critical minerals from feedstock sources such as power tools, EV motors from OEMs, wind turbines from large wind manufacturing companies or operators, black mass producers, battery manufacturers, and industrial battery sources, large and small from tool manufacturers to others. We are also in the discussions with several auto OEMs as they continue to plan, develop, and stand up the infrastructure needed to support their well-held line plans to transition to more of a broader electric fleet, including their battery manufacturing space. In terms of recycling, I think it's worth reiterating how we are strategically positioning to be a value-added partner in addressing our sustainability needs. We have what we believe to be the only CapEx flexible refining technology in the world, that we can scale as feedstock is available, eliminating CapEx risk, which ultimately eliminates risk for our shareholders. We don't have to go out and spend $0.5 billion to build a refining complex using installment extraction that will take 10 years to ramp up to that production capacity. We can expand our production capacity as the feedstock availability grows instead of waiting for manufacturing scrap or end-of-life battery scrap to grow, which ultimately means we can make money in the process today. Several recycling programs do not have the innovative and economically-competitive refining capacity other than ours. And as we mentioned earlier, it's the biggest bottleneck in the global supply chain, meaning the refining capacity. And we believe conventional refined methods such as solvent extraction or hydrometallurgical as used in China will be a challenge to deploy or will not be cost-effective being operated in the United States. Our ability to refine a variety of feedstocks, natural recycling, and handle rapidly evolving battery chemistries with the ability to quickly adapt as a differentiator and competitive advantage. I'd like to touch briefly on international opportunities, including Africa. With regards to naturally occurring lithium refining, we continue to see some very attractive opportunities to produce quantities of lithium products such as high-purity lithium carbonate or hydroxide to the battery market. As we have recently mentioned, we have evaluated several opportunities for our technology to be used in refining lithium from ore-based materials, produced from different regions, including Africa. And we have been very selective in our evaluation process to partner with operations that meet the standards of the United States. Upon review of our strategic committee, we believe American Resources' best interest is to leverage our advanced processing meaning heavy media separation, which we've operated in the carbon industry for over 20 -- meaning current linear resources as well as our team's experience, and our refining technology and other natural resources such as lithium and other critical minerals, thereby broadening our natural resource base of American Resources. It is worth reiterating and emphasizing the partnerships, procurement, and initial processing of a broader, more diversified natural resource base will take place at the American Resources level, which will feed into the ReElement division as feedstock. Again, to reiterate, ReElement is an advanced refining platform and our intention is to focus and keep clean and streamline as a value-added refiner of critical minerals and advanced materials, especially as we continue to position for its planned spin-off. As we are currently pursuing a long-term refining partnership to refine lithium produced in the Western Africa region as well as in South Africa, we are also working with a long-term independent Director to leverage his network and his experience within this region. And to bring our refining capabilities to that region, either through sourcing the material or being located and co-located. Our ability to this technology with its unique attributes enables us to increase the value of these regions natural resources into high-purity forms instead of exploiting and exporting that value. Opportunities like this further exemplify the unique attributes of our ReElement refining platform in terms of flexibility of the feedstock and chemistries, ability to be efficiently deployed due to its modular design and environmental sensitivity and to produce pure products needed for our technology, energy, and defense sectors with high and scalable capacity. Now, this will be done either through a partnership and/or internally using our technologies and our capabilities as a company. I'd like to shout out recognize ReElement team for the ground-breaking success, and we've achieved with a quick timeframe that they've achieved it. We do not believe the time is of the essence. We believe we put together the best team and continue to drive this revolutionary refining technology and that we will continue to add top talent to deploy it around the world. Additionally, and from a technical perspective, we believe that we have the world's best chromatography experts and team behind our ReElement division, whether if it's our university partners at Purdue, our engineering team that has a long-standing success developing and commercializing the foundation of this technology [Indiscernible], as well as the team members that we continually add and most recently adding a number of team members through the ReElement division. We have and continued to add top talent to further execute upon this vision as well as position ReElement as a stand-alone company. Some of these recent additions that I've just mentioned, Bob Galyen, as our Board of Directors, been on spin off. Bob is one of the top battery industry experts and a technical adviser in a recent addition to our Board of Directors at ReElement post-spin-off and a battery industry expert. Steven Frankowski, our Controller of ReElement. Steven comes to us with several years of large accounting firm experience and two years of financial reporting at the AES Corporation working in the Clean Energy segment. Daniel Archer, a process engineering lead and in charge of rare earth element materials. Israel Gomez, Process Engineer Lead in terms critical element materials. We continue to position ReElement as a global refining leader and the entity that will deliver significant value to our shareholders. Our goal is to build ReElement to a multibillion-dollar business and we believe we have the team and the line of sight to do that. Before we get into question-and-answer, I'd like to briefly comment on American Metals. American Metals position that we've been utilizing for generating cash flows by scrapping out ferrous metals. As we mentioned earlier, ReElement is not just a recycling platform, but an advanced refining platform. We are positioned in the American Metals division, which is an aggregator and processor metals to ultimately be recycled within the electrified economy. Given ReElement's refining capacity, we are asked if we can take entire batteries, battery packs, modulars, motors, and tools. However, we also want ReElement to remain as a pure refinery materials. As such, we believe American Metals is a great platform to leverage the ReElement refining capacity by processing and the constituent high-value battery materials in the black mass product to feed ReElement's battery materials refining capacity as well as the end-of-life motors and tools that we have developed a process in an automated way to recycle these, extract out the rare earth elements and be able to feed those rare earth elements back into the supply chain for domestic growth. In closing, we remain very confident in our position of all of our assets and the long-term value that we provide our shareholders. We remain hyper-focused on unlocking value and we already communicated our initial strategic steps to do so. We have ample liquidity and do not foresee the need of issuing equity to raise cash, especially with some of the sources of non-dilutive capital we have available. Just to reiterate, as the largest shareholder of American Resources, our management team is committed on maximizing the value for all of our shareholders. We believe our continued execution in the splitting of the ReElement division are the key and steps in doing so. One thing I'm proud about of our company is the individuals that we're bringing in, the team that we've built are focused on equity value. We're not hired guns. Nobody in this business is joining our company for high salaries. They're focused on driving equity value, being a part of something that's innovative, and ultimately, being proud of the business that we built. I'm excited about the team we've been able to build and the team that we're currently recruiting to add on to our company, and ultimately, excited that everybody is focused on aligning their interest with our shareholders of making sure driving the equity value of the company versus being hired guns. We believe that's a key differentiator of our business and why our business has been able to succeed through both good markets and bad markets. I thank all of you for joining the call today, and now I would like to turn it over to the moderator for some Q&A.
Operator: Thank you. [Operator Instructions] And our first question comes from Heiko Ihle from H.C. Wainwright. Please go ahead.
Heiko Ihle: Hey there. Thanks for taking my questions.
Mark Jensen: Yes, absolutely. Thanks for joining.
Heiko Ihle: Gladly. Multiples in the green energy space are, for obvious reasons, pretty high right now, obviously, higher than your legacy business. You got the SpinCo coming up. But I mean, how can one move the firm to get more of a clean tech multiple across the board? Or phrased differently, are you concerned with the multiple you'll get in the market for legacy co once the spin-off is completed. Because I mean, overall, it feels like you're doing a good job positioning the company for this, but the overall company thus far hasn't really had all the impact they would have expected to see.
Mark Jensen: Yes, that's a great question. And I think I touched on that briefly, but maybe didn't make it as clear, just trying to get through the call in a timely manner for all of our listeners. But one, ReElement is in of and we believe that will drive a significant amount of value based on the feedback we've had from large mutual funds that have an interest in investing post-spin-off in the open market of ReElement. I will say from driving value, including the Wyoming County complex, we will not only be just a metallurgical carbon producer there, but we'll be a rare earth concentrator and producer of rare earth elements in a very, very low-cost, fully-integrated process. But also including some of the regions of Africa that we've been working on and I've personally visited and had the opportunity to evaluate and analyze the mines over there, we are in conversations to not only in Africa, but also domestically, expand our mining base as well. Take advantage of the skill set that our team has in terms of heavy media processing, froth flotation, dense media processing to leverage that skill set, not only just in the core industry or the carbon industry, but also across the critical mineral opportunities as well. Some of the individuals Carlos Thompson have decades of experience in the mining sector and there's no reason we shouldn't be exploring that opportunity within the American Resources umbrella, the mining division to capitalize and utilize that skill set that we're being asked to be a part of today. So, I do think that -- I think people are mistaken in terms of what happened post-ReElement spin-off. I believe American Resources proper, the Mining division, has a significant amount of opportunity in front of it and being approached with a significant amount of opportunity to utilize our processing skill set, our technology skill set to drive value at the core business post-ReElement spin-off.
Heiko Ihle: Yes, that makes sense. And then just one more, please. Can you walk us through the quarter-by-quarter of expectations for free cash flow from McCoy Elkhorn, please?
Mark Jensen: Yes, absolutely. So, the -- we have been looking at where the most value-added component of our business could be. And as you've seen over the last year, we've adjusted and pivoted based on natural disasters and other events to monetize certain assets and focus on cash flow. McCoy is a unique very-- McCoy in Wyoming, what we -- why we're focusing on those two from an operational perspective is, one, they're very low-cost operator and two, they're very high quality. And we're starting to see that shift transition of the geographic distribution of carbon across the world. And as that plays out, we think we're in a very good position to generate substantial cash flow from those divisions, while also monetizing the Deane complex, either continue leasing it or we've been approached by a few different parties on selling it. We believe there's a substantial amount of cash value there that could then be redeployed into other divisions and/or the current division and/or just put on the balance sheet. But that's why we're focusing on those two complexes because of the cost structure and because of the ability to generate cash flow from -- make them a steady, stable business, while we evaluate some of these other opportunities that are being presented to us. They don't need a lot of -- at this point. They don't need CapEx. McCoy is set up. We spent the money there. Carlos, the Head of that division has done an absolutely phenomenal job of lowering cost and reducing environmental liability. I think we just got another $1.3 million release. Debt-wise, we paid off $2 million of a loan that one of our customers gave us to restart that mine. And we also had our $9 million of debt -- long-standing debt on our balance sheet converted, which the investor wanted to. Ultimately, probably wanted to benefit from the ReElement spin-off and the AMAO process that we've done. So, it's a very streamlined low-cost operation now, and we'll be able to take advantage of the current market environment.
Heiko Ihle: Very good. Well, that’s it for me. Thank you very much. I'll get back in queue.
Mark Jensen: Thanks. Appreciate it.
Operator: Thank you. Our next question is from Mark Stone. Please go ahead.
Unidentified Analyst: Yes, commenting on the current cash. I see from end of Q4 last year to the end of Q1, it went from over $8.8 million down to under $300,000. So, in light of that, can you comment on the cash projections for Q2, Q3, et cetera? And also how that's impacted by the timing of the ReElement spinoff?
Mark Jensen: Yes, I mean, the cash balance has nothing to do with the ReElement spinoff, but the cash balance -- the timing of how you file quarterly reports, I think the week after we brought in around $3.5 million of cash, still had about $5 million of inventory of at current market, not production cost, but at current market value. So, from a cash position, it's just the timing of how quarterly reports are filed. But ultimately, it's -- we also have about $2.5 million of equipment that has been contracted to sell. And we'll continue to monetize the equipment from the Perry County complex, I mean, which either to put on the cash balance sheet or continue to grow the business with it. But it's -- we don't need to raise equity capital. That's not the focus of the business. The goal of the ReElement spin-off is to unlock value. We believe that today, the investor base that may want to invest in the mining division, which will -- is currently carbon, but in advanced discussions to expand beyond carbon are different than the investors that want to invest in real and our focus is to unlock that value. We establish the strategic committee to do so. We're pushing that as quickly as we possibly can. We are being advised by a Board and investment bank in the process -- in part of that process. And ultimately, our goal is to get that done for the investors because the Board and the strategic committee believe that will unlock the most amount of value for the investors and the Board. We also believe getting that it will create substantial value. Currently, AMAO trades at around $10 a share. I believe we have approximately American Resources about 1.5 million shares and net back. So, about $15 million in value at current market, and we hope to get that approved through the SEC as quickly as we possibly can, which will create another additional value for the investors. One area that we didn't talk about is also Nova Sierra, which is progressing been awarded the Air Force contract in -- through its partnership with [Indiscernible] Defense also in another process of being awarded another contract, we hopefully very shortly. And then finalizing its audit per the hiring of its new CFO with the goal of filing that S-1 and advancing that process forward as well to unlock additional value for the shareholders. Basically, creating a more--
Unidentified Analyst: Can you tell me which side American Metals are going to with the ReElement spin-off?
Mark Jensen: Yes, that's a good question. The strategic committee and the Board is currently evaluating that. American Metals is in the final stages of procuring its first two shredding lines, one for batteries and one for magnets. Currently, it will be held in the American Resources -- under the American Resources' umbrella. But post the spin-off of ReElement, we'll evaluate that as well and we may end up spinning that division off into its own company as well with the separate team to run that.
Unidentified Analyst: Does that need to be addressed in the S-1 filing?
Mark Jensen: In the -- it would have to be a separate Form 10 filing if we spin it off, but it -- yes. So, right now, as of today, it's being at the American Resources level post the ReElement spin-off.
Unidentified Analyst: All right. Thank you.
Operator: And there are no further questions at this time.
Mark Jensen: Excellent. Well, I want I'd like to thank all of you for joining. We appreciate your time. We know you -- we took time out of your day for you to join us and listen to us, and we don't take that lightly. We're excited about what we have in front of us. We're excited about the opportunity for all of our divisions. We -- our focus is on continually driving value as management and the largest shareholders of the company. We're dead set on creating that value across all of our platforms, and we're excited about how the market environment is currently playing out and the -- we have in front of us.
Operator: And thank you. This does conclude today's conference. We thank you for your participation. You may disconnect your lines at this time and have a great day.